Operator: Good morning, ladies and gentlemen. And welcome to the Chartwell Retirement Residences Q3 2022 Financial Results Conference Call. I would now like to turn the meeting over to the CEO, Vlad Volodarski. Please go ahead.
Vlad Volodarski: Thank you, Paul. Good morning and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer; Sheri Harris, Chief Financial Officer; and Jonathan Boulakia, our Chief Investment and Chief Legal Officer. Before I begin, I direct you to the cautionary statements on slide 2, because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our 2021 MD&A under the heading 2022 Outlook and COVID-19 business impact and related risks, and in our Q1, Q2 and Q3 2022 MD&As under the heading 2022 Outlook for a Discussion of Risks and Uncertainties relating to the Pandemic and its ongoing effect on our business. These documents can be found on our website or at sedar.com. Turning to slide 3. I believe the third quarter of 2022 marks the turning point in our recovery from the impact of this long lasting and unfortunately, still ongoing pandemic. This recovery has not yet been as robust as we had hoped for. It's been slow, labors and uneven. Having said that, we are making progress. Our same-property retirement occupancy increased 60 basis points in Q3 compared to Q2 of this year with another 40 basis points increase in October. From April to September, our residences in 11 of our top 15 markets gained 280 basis points of occupancy. Our residences in four most competitive markets, Ottawa, Durham Region, Calgary and Quebec City continues to experience occupancy decline of 130 basis points. While November and December occupancy forecast is flat based on the known leases and notices on hand, we have consistently outperformed our forecast due to mid month move-ins, not accounted in the current forecast. Our initial contact and personalized tours leading sales indicators continue to trend positively. There is no question that the economic environment is challenging with rising inflation and interest rates, slowdown in housing sales, declining housing prices and the threat of potential recession. We believe our business can withstand these challenges as the majority of our move-ins are needs driven. People we serve have accumulated significant equity in their primary residences over decades living there. So even substantial declines in house prices would leave them with sufficient capital to finance their access to retirement living. In addition, seniors are likely more conservative investors and now they're making much better returns on their investments in interest bearing accounts and instruments like GICs and T-bills, also enhancing their ability to finance retirement living. In the last three months, I visited over 30 of our residences from Quebec to Alberta, meeting with our residents, managers and staff. These visits reinforced my confidence that we are on the right path. First and foremost, our dedicated teams are fully committed to delivering exceptional experiences to their residents. Even when some residents who are bringing their concerns to me, always, they took time to recognize and praise our people who serve and care for them every day. Second, it was very clear to me that our focus on occupancy recovery and growth is shared by everyone at Chartwell. Our residences teams know what they need to do and how to do it. Using this opportunity, I want to give a shout out to our team at Chartwell in Alberta, who last week celebrated their achievement of 100% occupancy. They promised they would do it, when I saw them in August, and it did not take them very long to deliver. Last but not least, I am confident that operationally, we have all ingredients, motivated people, deep expertise, innovative strategies and processes in place to accelerate our recovery and growth. There are two key priorities that our organization has, recover occupancy and solve staffing challenges. Our teams are working, collaboratively and effectively on delivering on these priorities. I will now turn this call to Karen, to talk about specifics of this work. Karin
Karen Sullivan: Thanks, Vlad. Moving to slide 4, in September, we had a sales call blip, encouraging prospects to attend our September National Open House and take advantage of a variety of love-in offers, specifically chosen by our homes from a toolkit of options to meet their unique needs. This event, which also included VIP experiences for our local business partners to familiarize them with our products and services to promote to their clients, was highly successful with over 1,000 new prospects. Based on this success and in an effort to continue to encourage prospects to come to -- out to our residences, we decided to add another two-day open house event in November. We have coincided this with an upgrade to our customer relationship management system that was launched this week. Our sales force across the country is not only excited about the new features of the system, but they are also using this as an opportunity to test out these new features by contacting prospects in their database to attend the November Open House events. We expect that this strategy, which also includes enhanced commissions for our retirement living consultants, will assist us with move-ins in Q1 2023. Our agile and adaptable marketing team put together a multi-channel campaign to support the Open House, including over 1 million direct marketing invitations delivered in our communities across the country. Overall, our marketing efforts, which include organic and paid web search, social media, marketing, radio, TV, newsprint, billboards and bus shelter ads, have shifted towards individual residences and regional advertising from generic brand awareness campaigns. The local campaigns focus on unique features, service offerings, pricing and promotions available at specific residences. Our advertising campaigns are designed to drive traffic to our website, which saw growth in visits of over 25% over the past three months and a 56% increase year-over-year. We're also expanding our relationship with paid referrals in Quebec and have recruited additional retirement living consultants in our larger properties as well as corporately to assist residences that have RLC vacancies or large volume of activities. We now have 12 business development managers' assigned geographic clusters of residents who are responsible for increasing referrals, brand awareness and grassroots business development, including interacting with hospital discharge planners within their regions. BDM referrals have the highest closing ratio after resident referrals and have steadily increased over the last three years. Business development referrals continually account for a significant portion of our overall prospect traffic and even higher portion of our permanent business. As part of our agile and scalable approach to operations, we've streamlined our brand standards and corporate processes to become more responsive to the needs of our residences. We also completed a reorganization of our Quebec operations platform in order to provide additional focus on sales efforts as well as to reposition specific homes in their local markets. This is on the heels of a similar reorganization in Ontario in Q2. We are also in the final stages of developing an operating model for our smaller properties to improve personalization of services to residents in a more cost-effective manner, which will be rolled out to approximately 20 homes throughout 2023. Turning to slide five, our other main focus has been and will continue to be recruitment and retention of staff and controlling the use of staffing agency workers. This latter the latter included a comprehensive RFP to reduce the number of agencies we are working with in Ontario from 30 agencies, which accounted for 80% of our Ontario spend to just nine agencies. This has allowed us to negotiate better rates, reduce surge pricing and introduce standard contract language, including a formula to move an employee from agency status to full-time employment. A similar process is now underway in Quebec. We have also introduced new accountability processes for utilizing agency workers in our homes. We've expanded our recruitment team by adding four professional recruiters to support our retirement residences, including a dedicated experienced recruiter in Quebec City, where we have our highest agency use. We continue to hold a number of hiring events in key locations across the country and our marketing team is assisting us with an employment marketing campaign, which includes expanded digital marketing outreach for care and dietary roles. We're using new tools for our online interviewing and shift call out software and have revamped our postings for frontline positions. In order to ensure competitive compensation in our homes, where appropriate, we are working with our employees and/or their union representatives on compensation enhancements. Not unlike our resident referral program, some of our best new hires come from recommendations from our current staff. To-date, we have hired 300 new staff as a result of our paid employee referral program. We're now taking a page from our sales team and holding a hiring blip in the coming months with enhanced payments for employee referrals that join us by the end of Q1. Other recruitment efforts include the development of programs and partnerships to attract students, new immigrants, and people with special needs as well as investigating a foreign workers program. Finally, we are also focused on retaining our employees, which starts with making day one and the overall orientation process welcoming effective and enjoyable. I'd now like to turn it over to Sheri to discuss our financial results.
Sheri Harris: Thank you, Karen. As shown on slide six, in Q3 2022, net income was $4.3 million compared to $0.1 million in Q3 2021. We use groupings of properties to evaluate and monitor our financial and operating performance and we believe that this additional disclosure enhances the ability to understand and assess our results of operations, and particularly to compare such results from period-to-period. In Q3 2022, we changed our portfolio groupings to present separately our properties acquired subsequent to January 1 of the preceding fiscal year and development properties not yet achieving stabilization by January 1 of the preceding year from properties that we have definitive plans to either sell, reposition, or otherwise make significant capacity changes to within the next year as the financial and operating performance trends in these two types of properties vary. The group is now presented in our MD&A are as follows: acquisitions and development, dispositions, repositioning, and other and same-property with same-property now owing our retirement operations. Further details of the composition of our portfolio can be found in our Q3 MD&A. For Q3 2022, FFO from continuing operations was $28.3 million or $0.12 per unit compared to $28.8 million or $0.13 per unit in Q3 2021. The decrease in FFO from continuing operations was primarily due to higher G&A expenses of $1.6 million due to higher severance, cloud-based information technology system implementation, education and travel expenses, partially offset by lower performance-based compensation expense. We also had higher finance costs of $1.5 million. This was offset by contributions from our continuing operations NOI, which increased $2.3 million. This is comprised of changes as follows: higher adjusted NOI of $4.6 million, due to contributions from our acquisitions and development portfolio, lower same-property adjusted NOI of $0.5 million and lower NOI of $1.8 million from our dispositions, repositioning and other portfolio. Total FFO was $31.9 million or $0.13 per unit for Q3 2022 compared to $33.9 million or $0.15 per unit in Q3 2021. Long-Term Care discontinued operations contributed $0.01 per unit to total FFO for Q3 2022, a decrease of $0.01 per unit compared to Q3 2021 due to lower preferred accommodation revenue, timing of flow-through funding envelope expenditures and incremental pandemic expense funding, which was partially offset by higher retirement accommodation and ancillary revenue. Slide 7 summarizes our same property operating platforms results. Our same property adjusted NOI decreased by $0.5 million or 1.1% in Q3 2022 compared to Q3 2021, primarily due to the following factors. We had higher net pandemic expenses of $3.7 million due to lower government reimbursements as most government programs for retirement residences have come to an end. In addition, we continue to have elevated pandemic expenses due to increased agency staffing used to augment vacancies, due to isolation requirements and continued staff shortages in select markets in Ontario and Quebec. We also had higher utilities and food expenses in Q3 2022. Our same property revenue growth was $7.3 million, or 4.8%, primarily due to higher revenue from regular annual and market based rental and service rate increases, combined with higher occupancy. Same property occupancy was 77.6% for Q3 2022, compared to 77.1% for Q3 2021, or an increase of 0.5 percentage points. Our Western platform achieved strong growth of 3.4 percentage points and Ontario increased 0.9 percentage points. Quebec, which had continued to decline through 2021 and into the spring of 2022, decreased 1.5 percentage points. Compared to Q3 2021, move-ins were higher by 6%, and move-outs were lower by 3.3%. All platforms experienced occupancy gains in Q3 2022 compared to Q2 2022. Turning to slide 8. You will see our monthly same property retirement occupancies. Same property occupancy increased to 77.7% or 0.2 percentage points in September 2022, and a further 0.4 percentage point gain to 78.1% in October of 2022. November and December 2022 occupancy based on known leases and notices on hand, are forecasted to be higher than October 2022 by 0.1 percentage points. We have consistently experienced mid-month move-ins, particularly in our Ontario platform. These mid-month move-ins are not accounted for in our forecast and may result in better than currently forecasted occupancy over the next two months. Moving on to slide 9. Our trend on retirement operations net pandemic expenses remained elevated in part due to significantly reduced government supports. Net pandemic expenses relate to temporary costs associated with restrictions or requirements imposed by public health authorities on residences with outbreaks. That typically results in additional staffing requirements, including agency staffing to fill some of these gaps along with additional PPE costs. Through the course of the pandemic, these expenses have ranged from a peak of $5 million per month in the early days to $0.9 million per month in the fall of 2021, prior to the Omicron-driven pandemic waves. Currently, these expenses are trending at $1.5 million per month, and we estimate that for Q4 2022, our pandemic expenses could range from $3 million to $5 million for the quarter, depending on outbreak activity and labor markets. As Karen outlined in her remarks, we continue to focus on reducing our reliance on agencies through our staffing optimization and recruitment initiatives as well as new technology solutions. We expect G&A for Q4 2022 will be approximately $10 million to $11 million. Turning to slide 10. Our mortgage maturities remain well staggered with an average term to maturity of 6.2 years at September 30, 2022. At September 30, 2022, we had $30.6 million in remaining mortgage maturities in 2022. Subsequent to September 30, 2022, we refinanced a $6.6 million mortgage with CMHC insured debt bearing interest of 4.28% and a term maturity of five years. As at November 1, 2022, the remaining maturities of $24 million are expected to be refinanced in the normal course. 10-year CMHC insured mortgage rates are estimated at approximately 4.5% and five-year conventional mortgage financing is available at 5.6% presently. At November 9, 2022, liquidity amounted to $182 million, which included $25 million of cash and cash equivalents and $157.5 million of borrowing capacity on our credit facilities. In addition, our share of cash and cash equivalents held in our equity accounted JVs was $11 million. I will now turn the call back to Vlad to wrap up.
Vlad Volodarski: Thank you, Sheri. Throughout the pandemic, we prioritized the needs of our residents and support for our employees while balancing interests of our stakeholders, including unitholders, and chose to maintain our distributions. The impact of the pandemic on our occupancies, NOI, FFO and cash flows has been significant. As a result, our current cash flow from operating activity does not fully cover our finance cost, capital investments and distributions. We believe that operational sales, marketing and portfolio optimization strategies we have put in place, will result in improvements in our occupancies and cash flows in 2023 and beyond. We believe that with the available capacity on our credit facilities access to CMHC insured and other financing sources and the expected proceeds from the previously announced sales of assets in D.C. and our Ontario Long Term Care platform, we have sufficient liquidity to finance our planned business activities and distributions. The lessons we learned over the last 2.5 years are invaluable. We learned that we must be bolder in our operating strategies and faster in execution, not only in crisis, but always. We learned the things that served us well during the peak of the pandemic, decision-making, centralized strategies and broad corporate support provided to our residences teams must be better balanced with stronger empowerment and autonomy of our people closest to the customer, our resident managers and frontline staff. Applying our learnings from the pandemic years, we are building on the strength of our management platform to create an even more agile and scalable organization, which can successfully support growth of our portfolio in the future. These efforts are already delivering results. Karen provided you with some examples of this agility. I want to highlight another one. Our teams just rolled out our new customer relationship management system, YardiCRM, normally at Chartwell a system implementation of this scale would take 6 to 12 months. Our multidisciplinary project team delivered this tremendous value to the business in less than four months. We are clearly putting our learnings to good use. Our real estate group has refocused their efforts on putting in place concrete portfolio optimization and asset management strategies. Our decision to transition our Ontario Long-Term Care portfolio in two British Columbia long-term care homes are examples of that. Repositioning and potential divestiture plans for four other residences with 625 suites are being executed and several other properties are currently under review for the development and execution of property-specific strategies, which may include service model changes, capital upgrades, asset class repositioning or dispositions. The rise in construction costs and uncertainty created by the pandemic resulted in a slowdown in our development and acquisition activities in the recent years. We believe that our national management platform will continue to be our competitive advantage in pursuing new growth opportunities through acquisitions and developments in the future. We have a number of potential acquisition opportunities of newly developed residences through our partnership with Batimo in Quebec and continue to evaluate a number of development opportunities on the lands we control. We are working to build new relationships with reputable developers and investors to avail ourselves of future growth opportunities that are complementary to our portfolio. We will now be pleased to answer your questions. Paul?
Operator: Thank you, Mr. Volodarski. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Jonathan Kelcher from TD Securities. Please go ahead. Your line is open.
Jonathan Kelcher: Thanks, good morning.
Vlad Volodarski: Good morning.
Jonathan Kelcher: Starting on the operations. I guess the MD&A or you talked about Western Canada not being as impacted with regard to agency usage as Ontario and Quebec. Can you maybe just tell us the difference between like why Western Canada isn't being as impacted?
Sheri Harris: I think a piece of it has to do with how much care we provide. We do have more independent IL properties. So one of the hardest types of employees to get our care staff and nurses, and nurses are the most expensive. So that would have something to do with it. And, I think, it also depends on the location of where our homes are. So Quebec City, as an example, was struggling even before the pandemic. So it is our most difficult city for finding staff. 
Jonathan Kelcher: And that's just been a historical norm. 
Karen Sullivan: Yes. I mean, I don't want to suggest it's been going on forever, but for sure for a couple of years even before the pandemic, yes.
Jonathan Kelcher: Okay. And the four weaker markets out of the 15 that you cited, first, so Vlad when you said, it was plus 280 basis points, I missed that from since the end of Q1 or year-to-date, I guess, that's not?
Vlad Volodarski: That’s from April to September.
Jonathan Kelcher: Okay. And what is the sort of, delta in occupancy between the, sort of, 11 better markets in the four weaker markets? 
Vlad Volodarski: We'll have to get back to you, Jonathan because it varies market-to-market, but it's substantial. 
Jonathan Kelcher: Okay. If I recall the last quarter, I think, the weaker markets were in the 60, 70 -- the others were well into the 80s. So that -- sound like you're right?
Vlad Volodarski: Yes. 
Karen Sullivan: Yes.
Jonathan Kelcher: Okay. And then lastly for me, on the -- can you just remind us when you expect the LTC portfolio sale to close and your expected net proceeds from that?
Sheri Harris: We still expect both of those transactions to close more or less as we announced. So the BC LTC sale is expected to close this year. And the Ontario LTC sale is expected to close in the first half of next year. 
Vlad Volodarski: And the combined projects, including Ballycliffe sale that will have a problem Q3 of next year is 330... 
Karen Sullivan: 265.8.
Vlad Volodarski: Plus BC.
Karen Sullivan: Plus PC. 
Vlad Volodarski: 330 million... 
Sheri Harris: 400.
Jonathan Kelcher: Okay. Thanks. I'll turn it back.
Operator: Thank you. The next question is from Tal Woolley from National Bank Financial. Please go ahead. Your line is open.
Tal Woolley: Hi. Good morning, everyone.
Vlad Volodarski: Good morning. Tal.
Tal Woolley: Just on the service price hike that was implemented in August. Was there any significant pushback from tenants or anyone decides to change service packages as a result? 
Karen Sullivan: No. I think the current environment in terms of what our residents would be hearing on the news and talking about gives us the opportunity to be able to have increases that are maybe higher than typical, it has gone quite well, actually. 
Tal Woolley: Okay. And then just thinking about the next couple of quarters, it seems like we're going to have a flu season this year. And obviously, the risk of COVID outbreak are – you know been accelerating a little bit. Should we expect maybe like a little bit more return to the sort of more normal seasonality we would have seen pre-COVID as we move through the winter season here?
Karen Sullivan: Yes. I think, historically, as you know, we've always had some winter dip, in some years it's more, some years it's less, in terms of the occupancy changes, and this is primarily because fewer people are looking for retirement accommodations during winter months, because the weather is not very conducive to that. Karen spoke about a number of initiatives that we put in place to try to change that pattern. And we do believe that there is pent-up demand in the system. Majority of our move-ins are needs driven. And our hope that between that pent-up demand and the initiatives that we're putting in place to help people to make that move, we should see -- if there is a dip, then it's smaller than what we've historically seen.
Tal Woolley: Okay. And, I guess, just sort of a broader question. Obviously, like hindsight is 2020. And in your preamble, you sort of discussed it's sort of been a slower grind, higher in occupancy than maybe you would have liked to have seen. If you go back and look, like, now, is there anything you think you would have tried to do differently over the last year, since the market started to open up again? 
Vlad Volodarski: I think, the initiatives that, again, Karen spoke about and I touched on, those are the ones that -- exactly the right ones, could have we done them earlier. Maybe, maybe not. It's really hard to talk about this with the 2020 hindsight. I do believe that, what we have in place now or are putting in place now is going to help us to recover this occupancy faster and move towards growth and getting to our target of 95%. And by the way, 95% is not the end of it. The real target is for every home to be at 100%, with a long waiting list and our people are driving towards that. The example I gave of Chartwell St Albert is an example of one of those.
Tal Woolley: Okay. And then, in your press release, you've sort of mentioned four things that you were evaluating with your team. You're looking at service model changes, capital upgrades, changes in use and maybe some more dispositions. I'm just wondering about the service model changes and the changes in use. Can you just add a little bit more detail about what you might be contemplating there?
Vlad Volodarski: Sure. So the first point you mentioned was targeted capital investments. And again, I'll go back to Chartwell St Albert that I mentioned on this call now two times. This will be the third time. We've actually put quite a bit of capital renovating that building in the last couple of years, and we now are seeing results it running at full occupancy. So these targeted capital investments, which we've done quite a bit over the years and will continue to do, part of that analysis that the properties are going through would include addition of that capital to upgrade homes. Service model changes includes anything from, Karen spoke about, small homes strategies that we're implementing, where we're going to target to deliver kind of more intimate personalized services to our residents and at a more cost-effective manner that is more conducive to the size of these homes. We're looking at some potential conversions to apartments in some of our homes, or phases of the homes that are on large campuses. And the other change might be the further implementation of the care services that we might not have everywhere just yet, but the Care Assist Program that we spoke about for a couple of quarters now to you that Karen's team put together, is really making difference in terms of our ability to serve our residences' needs when they live with us and also attract the new ones who have additional care needs. And we do believe that these needs will continue to grow, as there continues to be a shortage of long-term care beds across the country, and the hospitals are looking to free up their bets for people who need hospital type of care. So those service model changes is what we mean when we talk about that part and alternative users, I just mentioned to you, it could be convergence to other users of the properties that we consider non-core that we either can dispose as retirement residences or dispose as an alternative use or potentially redevelop on site. 
Tal Woolley: Okay. That's great. Thank you.
Operator: Thank you. The next question is from Himanshu Gupta from Scotiabank. Please go ahead. Your line is open.
Himanshu Gupta : Thank you and good morning.
Vlad Volodarski : Good morning.
Himanshu Gupta : First, on the dynamic expenses and agency staffing, I think Sheri, you mentioned something like $3 million to $5 million in Q4, which is somewhat similar to Q3. Would you say the first half of the next year will also look very similar in those pandemic expenses? 
Sheri Harris : I think it could be, Himanshu, in terms of just making sure that we have the resources in place to deliver operationally in that flu outbreak season. 
Himanshu Gupta : Okay. So, I mean, like in terms of any expectation of NOI margin recovery, we should be able to push out to more like second half of the year and not before. And maybe a related question is, even if I add these $4.5 million to $5 million to NOI in this quarter, the NOI margin is still way below like three dynamic levels. So basically, the question is that even if this expense goes away, how do you get back to or even near to three dynamic levels on margin side? 
Vlad Volodarski : Well, it's a function of occupancy, right? Like every incremental unit that we rent the revenue from that falls almost fully to the bottom line once you pass over the threshold. And at occupancy is 77%. We're pretty close to that where you could start actually seeing the incremental revenues just going to the bottom line. So that will drive margins back up. Clearly, the cost escalation that we have seen in the last year, in particular, agency costs contributing to that a lot as well. And so as these costs are taken out of the system, again, through all the strategies that Karen spoke to you about on the recruitment side as well, that will add to the improving margins. And then the other component of this is revenue growth. I mean, clearly, it costs us more to deliver services to our residents. And as Karen spoke, there is a good level of understanding from the residents about that. And in my remarks, I talked to you about how much appreciate that our staff efforts to deliver -- that are delivering services to them. And so there will be probably a bit higher than usual rent increases to our residents and market rates over time as our occupancy recovers. So all these things will, over time, contribute to improvements in margins. 
Himanshu Gupta: Got it. Fair enough. So fairly occupancy is key. So maybe let's start over on occupancy here. So occupancy in top 11 markets, it is move like 280 basis points, as you previously mentioned from, I think, April to September. So was it in line or above or below your internal expectations? 
Vlad Volodarski : Well, we all wanted everything to move a lot faster and a lot higher. So I think you can maybe sense from this call and discussions that we had before that we are looking to drive occupancy faster. And it's pretty good numbers to 280 basis points. And since April to September, we're looking to do more. And I think the environment out there with the pent-up demand, the growth of seniors population, the slower construction starts and all the strategies that Karen spoke about and our people there being focused on this occupancy recovery like they've never been before. I think will help us to get there.
Himanshu Gupta: Got it. Okay. And I think, Vlad in your prepared remarks, you did mention about distribution. And, obviously, you have the sufficient liquidity for everything. Are you expecting a certain level of occupancy gains next year? I mean, is that tied to any of your distribution strategy there?
Vlad Volodarski: Well, for sure. I mean we are watching our progress on recovery. Our occupancies, our cash flows, the liquidity situation and that certainly drives the decisions on distribution that the Board makes. We look at it quarterly. We continue to do so. Our expectation is that as our occupancies continue to recover with the changes that we're going to be making to our staffing levels in the homes and a reduction of agency costs that we'll be able to sustain the distributions and continue going down the path of recovery and occupancy and cash flow growth.
Himanshu Gupta: Got it. Okay. Fair enough. And then Vlad, again, and you also mentioned about portfolio optimization strategy, which could include potential divestiture program. Question is how advanced you are in that conversation? I mean is this just starting, or have you identified certain properties or basically getting a sense that when, or how should we expect some distribution program?
Vlad Volodarski: Well, the long-term care dispositions, that's clearly been announced, and that's ongoing. The other properties that we've identified, there is four properties that we moved into this repositioning, disposition and other buckets. Some of them may be sold as is, some of them will require additional efforts. There's one property that we're just renovating and upgrading and changing capacity while we're doing that. And the analysis of the rest of the portfolio continues in depth to develop specific strategies for specific assets. So these are a bit too early to talk about just now. 
Himanshu Gupta: Sure. And would you look to exit some markets as well, or it's more property-by-property basis, the program?
Vlad Volodarski: So we're getting a lot more sophisticated in how we're looking at our portfolio, again, early days. We are analyzing property specific situation right now. We will also expand this analysis to a broader market. At this point in time, there is no intent to exit any specific markets.
Himanshu Gupta: Okay. Thank you. Thank you guys. I’ll turn back.
Operator: Thank you. [Operator Instructions] The next question is from Pammi Bir from RBC Capital Markets. Please go ahead. Your line is open.
Pammi Bir: Thanks. Good morning. Vlad, you mentioned Q3 marked a turning point in your remarks. Can you maybe just expand on that? I mean, is it based on occupancy, I guess, maybe not so much on margins, but FFO or some other metrics that you're looking at?
Vlad Volodarski: I'm talking about occupancy primarily, but certainly cash flow is also very high on the agenda. And my comments are driven by a couple of factors. One is we began to see more tangible, I would say, occupancy recovery in Q3. We continue seeing very good traction in leading indicators. And I think this is a direct result of the strategies that Karen spoke about that we might have talked to you about in some ways before. Now they are firmly in place, or a lot of them are firmly in place, and we believe that they are producing results. So my comments are coming from those three areas.
Pammi Bir: Got it. And just on the use of more, I guess, the paid referrals in Quebec, what sort of impact do you think this could have next year? And I'm just curious if you've used them in the past and what success you've had... 
A – Vlad Volodarski: The page referrals in Quebec that Karen spoke about, it wasn't just Quebec. It was on the employee side, I think... 
Karen Sullivan: Yes. No, this is a paid referrals for residents. And we have used them in the past, but always a bit sparingly and more so for needs-based referrals, and we're more open now to using them, a little bit more broadly for sure.
Pammi Bir: And sorry, was that on sort of using these referral agencies or some revenue referrals.
Karen Sullivan: They're, agencies. 
Pammi Bir: All right.
Karen Sullivan: Yes. Resident referral 
A – Vlad Volodarski: Resident referral... 
Karen Sullivan: Residency and you then pay typically a month's rent for that.
Pammi Bir: Got it. Okay. And then just on the lab, the dispositions that you mentioned, the four properties, where -- which markets are those properties in? And just would the occupancy be in that sort of 60% range that I guess is in that new line item that you've disclosed? 
A – Vlad Volodarski: These are primarily Ontario properties and occupancies will be very low in these properties right now. So they're being marketed either as existing user or maybe alternative use. 
Pammi Bir: And is this something that may transact like in your mind sort of in the next -- within the next 12 months or possibly even sooner? 
A – Vlad Volodarski: Within the next 12 months, yes. 
Pammi Bir: Okay. And then just on the Batimo agreement, just some of the language there. And I guess, a couple of the -- a couple of more properties are stabilized. Are you expecting to actually acquire any of these properties in the next few quarters? 
A – Vlad Volodarski: We continue conversations with our partner on these particular properties. And at this point of time, I cannot give you the time line for acquisition. 
Pammi Bir: But if you did, what would sort of be the -- well, I guess, certainly, you do have the proceeds coming back on the dispositions. I presume that would be the primary source of funding for those? 
A – Vlad Volodarski: Yes. 
Pammi Bir: Okay. And then just lastly, on the covenant amendments that you have in place or that you've done so far this year, are those expected to be extended into 2023? 
Karen Sullivan: Many of those are already extended to the end of 2023. 
Pammi Bir: Okay. Are you anticipating any other covenants that would need to be adjusted? 
A – Vlad Volodarski: I mean there is a need and there is a sort of protection just in case. And so there may be additional covenant protection, not that we -- based on our forecast would require it, but just to be safe, so that we are not coming even close to those, we might have some additional expansions and additional amendments. We've been working very closely with our lenders, and they're very clear on the path that we're on and our projections and where we think we're going to get to and that close relationships is very positive and continuous, and we're grateful to our partners for being understanding. 
Pammi Bir: Got it. Thanks very much. I will – I’ll turn it back. 
Operator: Thank you. There are no further questions registered at this time. I will turn the call back to Mr. Vlad Volodarski.
Vlad Volodarski: Thank you very much. Thanks for joining us. And as always, if you have any further questions, please do not hesitate to contact any one of us. Have a great day. 
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time, and we thank you for your participation.